Operator: Hello, everyone. Thank you for attending Blue Bird Corporation's Fiscal 2023 Fourth Quarter and Full Year Earnings Call. My name is Sierra, and I'll be your moderator today. All lines will be muted during the prepared remarks from our management team with an opportunity for questions-and-answers at the end. [Operator Instructions] I would now like to pass the conference over to our host, Mark Benfield, Head of Invest Relations. Please proceed.
Mark Benfield: Thank you, and welcome to Blue Bird's fiscal 2023 fourth quarter and full year earnings conference call. The audio for our call is webcast live on blue-bird.com under the Investor Relations tab. You can access supporting slides on our website by clicking on the presentation box on the IR website. Our comments today include forward-looking statements that are subject to risks that could cause actual results to be materially different. Those risks include, among others, matters we have noted on the following two slides and in our filings with the SEC. Blue Bird disclaims any obligation to update the information in this call. This afternoon, you'll hear from Blue Bird CEO, Phil Horlock, and CFO, Razvan Radulescu. Then, we'll take some questions. Let's get started. Phil?
Phil Horlock: Well, thank you, Mark, and good afternoon, everybody. First, let me say the Blue Bird team has done a fantastic job in delivering continually approved results as we have moved through each quarter in 2023. As you'll see shortly in Razvan's section, the fourth quarter was no exception to that, where we achieved outstanding financial performance. For the full year, we delivered record financial results across the board, well ahead of the transformational plan that we outlined just a year ago, following a very tough year in fiscal 2022. So, let's get started with the key takeaways for the full year on Slide 6. As the headline says, we achieved record full-year financial results in fiscal 2023, and we beat guidance every quarter, including the fourth quarter. In fact, as Razvan will show you in just a few minutes, the fourth quarter was an all-time record profit for any quarter in Blue Bird's history with an exceptional adjusted EBITDA margin of 13%. As we look at the drivers for this terrific progress in fiscal 2023, it really is about making significant improvements across our entire business throughout the year. Market demand for school buses continues to be very strong and the backlog for Blue Bird school buses was at a very healthy 4,600 units at the end of the fourth quarter. This bodes wells for pricing, production stability, and profit margins. Now, while supply chain constraints are easing, there are select constraints across the industry which is still limiting industry production and deliveries. But we are very engaged with those constrained suppliers with on-site support at their plants and we are managing the situation very well. On that point, the evidence is clear with our bus deliveries in 2023 being 25% higher than last year. I'm pleased to tell you that the legacy-priced backlog, which hurt us in fiscal 2022 and in the first quarter this year, is now fully behind us. As a reminder, we define those legacy-priced units as those at contractual price levels prior to October '21. Every bus in our order backlog now reflects current pricing, and we're priced competitively, which you can tell from our quote win rate and incoming orders. This is an entirely different Blue Bird bus revenue structure compared with a year ago. On the EV front, thanks largely to the first phase of funding of $1 billion from the EPA's unprecedented $5 billion Clean School Bus Program, we had nearly 600 EVs in our firm backlog at the end of the fiscal year and full-year deliveries more than doubled from a year ago. With $4 billion still to go, this program is really accelerating the adoption of electric school buses. As we have done for many years, we again increased our sales mix of alternative-powered vehicles and strengthened our leadership position even further. The higher margins and higher [on the loyalty] (ph) from these products contributed to our profit improvement in fiscal 2023. We also reinvested back into the business by selectively upgrading facilities and processes, enhancing the plant working environment and adding electric bus capacity through our new EV production center. Through the efforts of the best workforce in the business, strong leadership, lean process improvements, and sheer hard work, we have been achieving some of the best manufacturing performance the company has ever achieved. Bottom-line, we're performing extremely well in a strong market. We're delivering a greater mix of higher margin in alternative-powered vehicles, we are priced competitively and appropriately for today's economic environment, and financial results are at an all-time record level. Now, let's take a closer look at the financial and business highlights for the full year on Slide 7. I want to start by saying that our full-year financial performance is transformed from a year ago with many record highs achieved. We sold over 8,500 buses in fiscal '23, which is a substantial 25% or almost 1,700 buses above last year. Those unit sales drove full-year net revenue of $1.13 billion. That's an all-time net sales record for Blue Bird and an exceptional 41% higher than a year ago. Full-year adjusted EBITDA of $88 million is another all-time record for Blue Bird. That's $103 million higher than last year and $15 million above the midpoint of guidance that we set at our last earnings call. And finally, adjusted free cash flow for the year was $121 million. That's an extraordinary increase of $144 million over last year and another all-time cash flow record for Blue Bird. Overall, these are outstanding full-year results and transformational gains from last year. Although not shown on this slide, it's worth pointing out that in the second half of fiscal 2023, we achieved an adjusted EBITDA of $70 million, representing a margin of 12%. It's clear we have great momentum going into fiscal '24. On the right-hand side of the slide, you can see some of the operating highlights for the business. As I mentioned earlier, demand continues to be strong with our firm order backlog at fiscal year-end worth over $670 million in revenue. We raised prices considerably over the past two years, and the average full-year selling price per bus in fiscal '23 was 15% higher than a year ago. Parts sales were just shy of $100 million, another Blue Bird record, and up 27% year-over-year. The increasing average age of buses on the road is having a material positive impact on our aftermarket business and we gain market share. Turning to alternative-powered buses, they represent a record 62% of our full-year unit sales, and that's a 4 percentage points increase compared with last year. We continue to be the clear leader in this space. No other school bus manufacturer comes close to that number. Now, EV buses were part of that mixed growth with bookings more than doubling from last year. Additionally, we left the year with nearly 600 firm EV orders in our backlog, which is around a 12% share of our total backlog. That's with approximately $180 million in revenue. Clearly, we're benefiting substantially from the $1 dollars funding from the first phase of the EPA's $5 billion Clean School Bus Program. And last on our EV business, we did launch an all new extended range battery in the second half of the year, providing around a 30% increase in range on a single charge over our standard battery. That's an expected range of about 130 miles, which is a terrific value offering for our customers by meeting the sweet spot for daily school bus use. From an operations standpoint, a great example of lean manufacturing is improved throughput, looking at the time taken from initially setting up a bus chassis to receiving payment for the complete finished bus. We cut that from 40 days to 20 days in fiscal '23. Incidentally, we've been running it around 16 days in the first quarter of fiscal '24. That's a great performance by our operations team. And finally, we beat full-year guidance, reporting record net sales, record adjusted EBITDA, and record adjusted free cash flow for fiscal 2023. We finished the year incredibly strong with a 13% adjusted EBITDA margin in the fourth quarter, and I'm very proud of our accomplishments. I would now like to hand it over to Razvan to walk through our fiscal '23 financial results in more detail. In addition, we will be providing our updated fiscal 2024 guidance, which an adjusted EBITDA margin of 10% is substantially higher than what we showed you in our last earnings call. Over to you, Razvan.
Razvan Radulescu: Thanks, Phil, and good afternoon. It's my pleasure to share with you the financial highlights from Blue Bird's fiscal 2023 fourth quarter and full-year record results. The quarter-end is based on a close date of September 30, 2023, whereas the prior year was based on a close date of October 1, 2022. We will file the 10-K today, December 11, after market close. Our 10-K includes additional material and disclosures regarding our business and financial performance. We encourage you to read the 10-K and the important disclosures that it contains. The appendix attached to today's presentation includes reconciliations of differences between GAAP and non-GAAP measures mentioned on this call, as well as other important disclaimers. Slide 9 is a summary of the fourth quarter and full-year record results for fiscal 2023. It was another outstanding operating quarter for Blue Bird with somewhat limited supply chain challenges and with an increased number of higher margin units driving both our top-line and our bottom-line results. We significantly beat the adjusted EBITDA quarterly guidance provided in the last earnings call. And in fact, we delivered the best quarter ever for Blue Bird with 13% adjusted EBITDA margin. The team pushed hard and continued doing a fantastic job and generated 2,116 unit sales volume, which was 100 units or 5% higher than prior year. Record consolidated net revenue of $303 million was $45 million or 17% higher than prior year, driven by a higher number of units, higher parts sales, improved mix of electric buses, and pricing actions that took hold significantly in this quarter as expected. The adjusted free cash flow was very strong at $35 million and $6 million higher than the prior-year fourth quarter. This performance was driven by the increased profitability combined with strong working capital management and support our great liquidity position at the end of this quarter, which was $163 million. Adjusted EBITDA for the quarter was a record $41 million, driven by our high volume of now profitable buses, increased parts sales and margins, partly offset by increased labor costs. Looking quickly at the total year, we are very proud by the team's performance in recording the best year ever for our company in several top-line and bottom-line aspects. And with only 8,514 units sold, or approximately 2,500 units less than the prior best year of 2019. And this is despite the transitional nature of our fiscal '23 Q1 results, which included still a large portion of all backlog low-margin buses. Our full-year performance was outstanding for both the top-line and the bottom-line: all-time record $1.13 billion in revenues, all-time record adjusted EBITDA of $88 million, and all-time record adjusted free cash flow of $121 million. Moving on to Slide 10. As mentioned before by Phil, our backlog at the end of Q4 continues to be very strong at approximately 4,600 units, and with all of these units at current price level. Breaking down the record Q4 $303 million in revenue into our two business segments. The Bus net revenue was $278 million, up by $42 million versus prior year. Our average bus revenue per unit increased from $117,000 to $131,000, or 12%, which was largely the result of pricing actions taken over the past 18 months, as well as a higher mix of electric buses. EV sales in Q4 were also at a record level of 171 units or 51 more than last year, a 43% increase year-over-year. Parts revenue for the quarter was $25 million, representing a growth of $4 million or 17% compared to the prior year. This extraordinary performance was in part due to increased demand for our parts as the fleet is aging, as well as supply-chain-driven pricing actions and throughput improvements. Gross margin for the quarter was a record 16.5% or approximately 18 percentage points higher than last year due to our improved operational performance and our pricing catching up with the inflationary cost over the last 18-plus months. In fiscal '23 Q4, adjusted net income was $21 million or $43 million higher than last year. Adjusted EBITDA of $41 million or 13% was up compared to its prior year by $57 million and 20 percentage points. Adjusted diluted earnings per share of $0.66 was up by $1.32 versus the prior year. Moving on to Slide 11, and for the remaining of this presentation, we will focus on the full-year result. Breaking down the $1.13 billion in revenue into our two business segments. The Bus net revenue crossed the $1 billion mark at $1.035 billion, up by $311 million versus prior year. Our average bus revenue per unit increased from $106,000 to $122,000 or 15%, which was largely the result of pricing actions taken over the past 18 months, as well as a higher mix of electric buses. EV sales for the year were at a record level of 546 units, which is 277 more than last year or more than double. Parts revenue for the year was $98 million, representing a growth of $21 million or 27% compared to the prior year. This extraordinary performance was in part due to increased parts demand as the fleet is aging, as well as supply-chain-driven pricing actions throughout the year and throughput improvement. Gross margin for the year, including the low-margin units from Q1, was approximately 12% or 8 percentage points higher than the last year due to our improved operational performance and our pricing catching up with the inflationary cost. In fiscal '23, adjusted net income was $35 million or $71 million higher than last year. Adjusted EBITDA of $88 million or 8% was up compared with prior year by $103 million and 10 percentage points. Adjusted diluted earnings per share of $1.07 was up $2.22 versus the prior year. In summary, our operating performance and financial results demonstrated in this year, and particularly in the last two quarters, are clear evidence that our business transformation has been very successful. And it sets a solid base for our future performance towards our goal of sustained profitable growth, with adjusted EBITDA margins of 10%-plus in the short-term normal year and with some more supply chain normalization, followed by 12%-plus in the medium- to long-term. Moving on to Slide 12. We have extremely positive developments year-over-year also on the balance sheet. We ended the year with almost $80 million in cash, and reduced our debt significantly by $40 million over the last four quarters. Our liquidity is very strong at a record $163 million at the end of fiscal '23, with a zero balance on our revolver. The improvements in operating cash flow and adjusted free cash flow were primarily driven by improved operations and margins and were supported also by improvements in trade working capital. Additionally, we had at the end of the year $19 million in prepaid revenues from Phase 1 of the EPA Clean School Bus Program, with more to come in the future. Moving to Slide 13. At the end of November 2023, we refinanced our credit facility at significant better terms with a five-year maturity date through November 2028. The new structure consists of a $100 million term loan with 5% per year amortization, and a new revolver line of credit of $150 million. We would like to thank BMO, who led the syndication process, the other joint lead arrangers, including Bank of America, and the other lender participating banks for their support and confidence into our future. The reduced covenants and the extended maturity of our loan provide Blue Bird with both flexibility and stability as our business grows profitably and we continue to lead the school bus industry in the alternative fuel space. Slide 14 shows the magnitude of the business transformation and results achieved by our team over the last year. We went from arguably the worst year ever to the best year ever, with over $100 million adjusted EBITDA improvements year-over-year, record revenue up 40% and approximately doubling our EV sales and record adjusted free cash flow. And we achieved this with approximately 2,500 less units than the prior best year of 2019, which demonstrates our much lower breakeven point we operate under right now. Slide 15 shows the work from fiscal '22 adjusted EBITDA to the fiscal '23 result. Starting on the left at negative $15 million, the impact of the Bus segment gross profit in total was $86 million. Split between volume and pricing effects, net of material cost increases of $66 million, and operational improvements of $20 million. The operational improvements consist of year-over-year manufacturing efficiency improvements and lower [freight-in] (ph) costs. The favorable development in the Parts segment gross profit of $17 million driven by higher sales and improved margins, as mentioned earlier in the call. Moving on, our JV Micro Bird had an outstanding year and their best year ever as well. Coming from a net income loss last year to a record result, the year-over-year improvement was $12 million. Additionally, we updated our adjusted EBITDA addbacks to include now, due to materiality, our portion of the JV interest, taxes, depreciation, and amortization of approximately $5 million in absolute terms and year-over-year, as last year is netted under $100,000. These improvements were fully offset by increases in our other expenses and fixed costs, mainly personal related, of negative $17 million as we started to reinvest into our business and our teams during fiscal '23. The sum total of all of the above-mentioned developments drives our record fiscal '23 reported adjusted EBITDA result of $88 million or 8%. On Slide 16, you can see once again the spot market development for steel prices. After the reduction in the second half of calendar year '22, they started to increase again all the way through the end of May, and this did offset a portion of our pricing realization for the remainder of calendar year 2023. The next few months shows some easing, but the UAW strike resolution with the major auto manufacturers created upward pricing pressure into the market. The futures, however, indicate some flattening in the next few months. However, please keep in mind that we have already put in place a comprehensive steel buying strategy, and we are entering into future locked contracts for steel prices with certain tonnages up to 12 months forward, minimizing our exposure and margin risk in the backlog. Before we talk about the updated guidance for fiscal '24 and our improved long-term outlook, on Slide 17, we wanted to share with you some significant investments that we are planning to start in fiscal '24 to ensure our profitable growth strategy is successful. Our engineering expenses plan for fiscal '24 are double the level of fiscal '23. As we start the integration work of the next generation of Ford gas and propane engines for the next level of emission regulations. Additionally, we continue to evolve our EV offering and plan new product safety enhancement features. Finally, we will continue to ramp up our investment in bringing to market the commercial EV chassis by the end of calendar 2024. We are also planning to triple our capital investment into capacity expansion, production facility upgrade, quality improvements, and our supply chain capability and tooling towards our target of 50 buses per day or approximately 12,000 buses per year. On the people side, we experienced inflationary pressures both externally from our supply base and internally, and we continue to provide competitive benefits to our employees. We're also launching a complexity reduction initiative, and we'll begin the upgrade of our ERP system as well as modernization our business intelligence and financial planning and analysis tools. All these costs combined can add up to approximately 2% of our revenues in fiscal '24 and beyond. On to Slide 18. This is the last earnings call in which we will present this picture, as it was necessary in the past to provide transparency to our pricing journey and consumption of the old backlog. However, we are happy to reiterate that we are now past all of the old backlog units with fixed pricing from fiscal '21 orders. Our production schedule is now full into fiscal '24 Q2, with some models, Type D for example, going already into fiscal '25. As shown in the page before, supply chain and labor inflationary cost pressure still exist, and we are reinvesting heavily into our product and manufacturing capabilities. Given our significant backlog, we announced for fiscal '24 another mid-year price increase of $2,500 per bus net for new orders received after April 1, 2024, to cover expected inflationary costs and other investments. This is in addition to the prior price increase of $2,500 we took for orders starting on October 1, 2023. On Slide 19, we want to share with you our updated fiscal '24 guidance. As a reminder, we are continuing to take a more transparent and conservative approach also this year, but it is still a somewhat uncertain supply chain environment we are facing. However, we have improved already all the other business levers that we could address, as now demonstrated by our very strong fiscal '23 Q3 and Q4 actual results. Looking forward at fiscal '24, we are increasing our revenue to a range of $1.15 billion to $1.25 billion, and we are significantly increasing our adjusted EBITDA margin to $115 million or 10%, with a range of $105 million to $125 million. Due to supply chain volatility, at this point, we are only providing general quarterly ranges, with every quarter expected to have revenue between $275 million to $325 million, adjusted EBITDA in the range of $25 million to $35 million, or 9% to 11%. We'll provide further updates in mid-February after we close Q1 and gather further insight into our supply chain capabilities to support our strong backlog and EV mix. Moving to Slide 20. In summary, we are forecasting the significant improvement year-over-year with revenue up 6% to approximately $1.2 billion, adjusted EBITDA in the range of $105 million to $125 million, and adjusted free cash flow of $50 million to $60 million, in-line with our typical target of approximately 50% of adjusted EBITDA. On Slide 21, we wanted to also update you on our improving long-term outlook. We are very happy about the results of our business transformation as demonstrated by our fiscal '23 Q3 and Q4 actual results and our increased fiscal '24 guidance. The 10% adjusted EBITDA margin is firmly now into our updated new normal year, and once the supply chain further normalizes, we expect to sell 9,500 units, including 1,500 units EVs, and generate $135 million of adjusted EBITDA on $1.35 billion in revenue. Looking to the medium-term, our EV growth and operational improvements can support volumes of 10,500 to 11,000 units, including EVs in the range of 2,500 to 3,500 units, generating revenues of $1.5 billion to $1.75 billion, with adjusted EBITDA of $165 million to $210 million or 11% to 12%. Our long-term target remains to drive profitable growth towards approximately $2 billion in revenue, comprising up to 12,000 units, of which up to 5,000 in EV, and generate EBITDA in excess of $250 million, or 12.5%-plus. We are incredibly excited about Blue Bird's future, and now I'll turn it back over to Phil to further expand on this.
Phil Horlock: Thanks, Razvan. Let's move on now to Slide 23. Now, we've shown you the chart on the left before, which illustrates the three priorities that drive us: taking care of our employees, delighting our customers and our dealers, and delivering profitable growth. The new chart on the right provides more texture around the specific strategies that we are pursuing that both align with our priorities and drive our forward year growth plans. At the center is our ultimate objective, to drive sustained, profitable growth. As you look at the accomplishments in fiscal '23, we've transformed the business from losses to record profitability. For fiscal '24, we have increased our earnings guidance to reflect a 10% adjusted EBITDA margin, and then over the next couple of years, we plan to grow the margin to 11% to 12%. Our core strategies focus on delivering these financial goals and are spelled out in this chart. Shown at the top of this chart, leadership and safety, both in the workplace and with our products, is paramount to us. Specifically with our products, we seek to differentiate ourselves, providing more value to our customers. Our buses are purpose-built from the ground up for transporting children safely with many unique features that no one else has in the industry. They're not a derivative of a truck chassis like most of our competitors, and our customers understand the value of this. Delivering the best and broadest range of products and features and leading in quality, durability and alternative power are the cornerstone of our product planning and development. Being competitive in cost through lean manufacturing and efficient throughput, strong supplier relationships and smart product design are essential to competing a business where competitive bids are mandatory. And after the sale, we need to provide great service and ensure the highest possible vehicle uptime throughout the 15 years or more that our buses need to run. This means partnering with our exclusive dealer network that covers every corner of the United States and Canada. With an average tenure of 31 years, our dedicated Blue Bird dealers know how to service our customers. Frankly, you can't make it in the school bus business without a fully capable dealer network that can reach more than 10,000 school districts that operate their own bus fleets and 3,400 independent owner-operators of school buses. Following these core strategies have been key to our transformation and will continue to drive our forward year plans. The next two slides highlight a couple of key initiatives that will help us accelerate adoption of EV and propane vehicles in fiscal 2024 and beyond. Let's turn to Slide 24 and look at the latest impact of the federal government's Clean School Bus funding program. As a reminder, we're in the second year of this five-year program which provides $5 billion of funding for electric and propane-powered school buses. There was still over $4 billion available after the first round of funding. Round two provides $400 million in grants, and applications for this round close at the end of August this year. It's expected around 1,000 buses and associated charging infrastructure will be funded by this grant program and we expect the grant awards to be made in the first quarter of the '24 calendar year. With the help of our in-house grant writing team, Blue Bird supported enough well-qualified applications to support about 1,000 buses, so we should be well-positioned to capitalize on this opportunity. In addition, a third round of funding was announced late this year, providing a further $500 million in rebates for electric and propane bus purchases. The application process is well underway, and awards are expected to be made in the second quarter of '24 calendar year. In total, both of these funding initiatives should support up to 2,500 electric and propane school buses and associated infrastructure, which is great for the industry and in particular, great for Blue Bird. Continuing on the theme of accelerated adoption of Blue Bird electric school buses, Slide 25 shows our latest initiative that we announced late last week. We have formed an exclusive joint venture with Generate Capital, who is a leading sustainable investment and operating company focused on infrastructure transition. Our new venture called Clean Bus Solutions will provide electric school buses and charging infrastructure as-a-service to Blue Bird customers for an affordable monthly fee over the lifetime of the service. This turnkey service eliminates a typical high upfront cost for a school district in paying for an electric bus when grants are limited and handles the entire charging infrastructure process, including installation. This recurring revenue business should accelerate adoption of Blue Bird electric buses by school districts and will be a great new sales tool for our dealers. We will keep you posted on progress throughout the coming year as Clean Bus Solutions begins to transact business. So, let me now wrap up the prepared remarks and our outlook for the business on Slide 26. There's not much more I can say on our fiscal '23 results, other than we achieve record results across every metric on which we provide guidance, and it was a transformational improvement from fiscal 2022. Razvan took you through the raised guidance of fiscal '24, and I'm showing you some of those key metrics at the midpoint of guidance on this slide. We are being prudent on our bookings outlook, only increasing volume by 3% over the fiscal '23 at this time as we still deal with select supply chain issues. But we did manage them very well in fiscal '23, and if we can build more in fiscal '24, we will just as we did last year. Net revenue of $1.2 billion will be a new record for Blue Bird, up 6% from fiscal '23. Adjusted EBITDA guidance of $115 million is more than 30% higher than the record $88 million we delivered in fiscal '23. Importantly, we are planning on a 10% EBITDA margin in fiscal '24, up 2 percentage points from fiscal '23, which is a couple years ahead of the plan that we have been sharing with you. We have confidence in achieving this margin after recording a 12% adjusted EBITDA margin in the second half of fiscal '23. As Razvan pointed out, we are doubling our engineering work in fiscal '24 in support of new product programs, which is contained with our 10% margin outlook for fiscal '24. And finally, we're looking to grow EV unit sales to 900 buses in fiscal '24. That's a 65% increase over our 2023 sales. And as you can see on the right chart, there's a lot of pent-up demand following the low units of sales in 2020, '21, and '22, and the bus fleet has aged by a couple of years during that period. ACT is forecasting a compound annual growth rate of 10% through to fiscal '27. And that's great news for our business and great news for our profit outlook. With residual supply chain challenges still impacting the auto industry, the ability to build all these units near term is not a given. But I can tell you one thing, the demand for these buses is clearly there. After executing a substantial transformation across our business, the company is performing exceptionally well, as you can see by our financial results. We'll continue to improve operating performance and look forward to sustained profitable growth in the robust market ahead. The future is incredibly bright for Blue Bird and we're confident in achieving what had been our long-term goal of 12% EBITDA margin within the next couple of years. I want to thank our nearly 2,000 employees for all their hard work and dedication in delivering our record results in fiscal '23 and for transforming our company, as well as our outstanding dealer body who are critical to our success. That concludes our formal presentation today, and I'd like to hand it back to our moderator for the Q&A session.
Operator: Thank you. [Operator Instructions] Our first question today comes from Eric Stine with Craig-Hallum. Please proceed.
Eric Stine: Hello.
Phil Horlock: Hey, Eric.
Razvan Radulescu: Hey, Eric.
Eric Stine: Can you -- hey, okay, good. You can hear me.
Phil Horlock: We can hear you, yeah.
Eric Stine: So -- good. Very good. Well, obviously, great end of the year, $40 million in EBITDA, and appreciate the fiscal '24 and the kind of high-level quarterly view. But maybe just talk about seasonality a little bit. Obviously, historically, a very seasonal business. Now, you've got this big backlog you're working through, plus you've got strong industry demand. So maybe, in the context of that high-level guidance that you have given per quarter, how should we think about seasonality throughout the year?
Phil Horlock: That's a great question, Eric. It's Phil here. Obviously, you're used to us, you've seen our report numbers over many years, and seasonality was always one issue we dealt with. I think right now, with our backlog and with the pent-up demand we have and the industry in general with dealing with the same issues, seasonality is really not something that is concerning us right now. Now, the first quarter will always be lower. We obviously have shutdowns, holiday vacation plans around Thanksgiving, around the holiday season, at Christmas time. So, these obviously impacted with less days obviously, especially in December. But I think overall when you look at us now, that predictability of looking by quarter, we're not going to have anything like the seasonality we used to have. It's pretty-- it's fairly consistent throughout the year, just first quarter should be a little lower in a volume standpoint.
Eric Stine: Okay, that's helpful. And then, you talked about Clean Bus Solutions and then you expect that to accelerate. And I would assume you're talking about affordable by getting as close to what the cost of a diesel bus would be on a monthly basis for a school district. I mean, how do you -- I think in the slides you said you expect it to be 10% of sales here in the relative near term. I mean, how do you see that playing out? Do you think that school districts are looking at the Clean School Bus Rebate Program, waiting to see if they get funding, if they don't, then they potentially go this route and possibly do it quickly as a way to really get buses on the road in a pretty rapid fashion?
Phil Horlock: Yeah, I think that's the way we're looking at it. Obviously, the grants for the EPA program have been terrific. I mean, they've helped people really accelerate adoption and districts who otherwise would not have been able to afford a product have had a chance to get a terrific grant. But there's no question when you don't have grants or you have limited grants and there's a -- we said before the price of an EV bus is typically 3 times the price of one with a combustion or spark engine ignition. It's a bit of a sticker shock as we say in the auto industry. And so, having this capability now instead of a big upfront capital expense, you can pay what's called an affordable monthly fee over 12 years or 15 years or so at the lifetime of the product, makes it much more affordable and faster to adopt. That's the beauty of it. For that $350,000, let's say, plus price of electric school bus, when you're paying a standard monthly fee over 15 years, you can afford a few -- a lot more of those buses right up front and get to run them, get used to them. Now, I do think at the end of the EPA grant, I mean five-year program that's being put out there, it's going to be -- we expect obviously battery cost to come down, significant reductions in the price of the platform so to speak, the electric platform, and I think that's when you really will see the benefits of a program like this coming through because it will be much more attractive than a traditional upfront capital cost per school bus.
Eric Stine: Got it, and very helpful. And then, last one for me. Just, I mean, obviously the margins, the price per bus, I mean, all of that moving in the right direction and pretty quickly. I mean -- but would you agree with the statement that really that is more due to the price increases you've put through and that that's finally worked through backlog rather than the mix of electric buses? If I do my math, it looks like maybe electric made up 6% to 7% of the mix in fiscal '23.
Razvan Radulescu: Hi, Eric. This is Razvan. Thank you for the question. Absolutely. The biggest impact comes from the numerous price increases we put in place over the last almost 24 months now to keep up with the material cost inflation and reposition our margins for the future. So yes, EV is a smaller portion of that, but all the other buses and especially alternative power ones are what drives our extraordinary bus margins today.
Eric Stine: All right, thank you.
Phil Horlock: Thanks, Eric.
Operator: Our next question today comes from Mike Shlisky with D.A. Davidson. Please proceed.
Mike Shlisky: Yes. Hi. Good afternoon, and thanks for taking my questions.
Phil Horlock: Hi, Mike.
Mike Shlisky: I guess I want to talk first about the -- hi there. I want to just touch first on the EV subsidies and EV programs for fiscal '24. Do you anticipate that Blue Bird will continue to kind of get its fair share if not greater of whatever is awarded this year's -- in this year's subsidies and in the broader EV bus market in general?
Phil Horlock: Yes, I would. I would expect us, Mike, to do very well and get our fair share. We got a good share to the first phase and I think we prepared very well for this. We have grant writers on our team who work with our school districts, they work with our customers, they work with our dealers. They'll just put together what I call really valid applications. I mean, when you're looking at a grant program, you're often asked into look at the quality of that customer, either in an attainment area, either in an area that needs electric buses because of the pollution that might be in that area. And we've researched that very well, gone through it. So, we feel confident of where we stand in terms of the applications we put forward and validity of those applications.
Mike Shlisky: And just to follow up there, have you found any, a large number or even a small number of the previous awards get postponed because the customer didn't have a charging infrastructure or other parts that were required to get the bus?
Phil Horlock: That's a good question. I've heard that some others about some folks out there have had cancellations on their request. I can tell you this, we've had two vehicle cancellations, two in total. Not 20, not two customers with lots of applicant, two vehicles because of a customer who was just concerned about, could he get the infrastructure in place the time he wanted it. And that's it, that's for us. We've been very successful in terms of putting our grant requests in highly validated, highly qualified. So, we feel good about that.
Mike Shlisky: Got it. One topic that wasn't really mentioned was the organized labor in your facility. I was wondering if you could update us on how discussions might be going with your employees and what -- if there is a date or a possible milestone you've got for us to share today on that. Thank you.
Phil Horlock: Okay. Well, I think it's pretty much the same as I said last quarter, actually. We're collaborating well with the United Steelworkers. We're having very frequent negotiations. We're not actually talking about what I call the economic terms. It's been more around things like holidays and what do we do about grievance issues that might be out there. More of a typical what they call non-economic factors. So, as I said, going very well, a lot of good discussion, very professionally run. And I would say that I think the earliest we're going to be talking -- we seeing a completion of this, I don't even have a date on it, but I think we're talking well into '24 before something might be finalized. Like I said, meeting very regularly, we're very thorough. This is a ground up program. I mean, you start literally from a blank sheet of paper and work through everything with United Steelworkers. And so, I think sometime, maybe towards middle of next year could be, but again, I'm not putting any timeframe on that. We'll just do it thorough -- we'll just handle it thoroughly.
Mike Shlisky: Okay. Phil, thanks so much. I appreciate the commentary. I'll pass it along.
Phil Horlock: You bet. Thanks, Mike.
Operator: Our next question comes from Craig Irwin with ROTH MKM. Please proceed.
Craig Irwin: Good evening, and thanks for taking my questions.
Phil Horlock: Hi, Craig.
Craig Irwin: Phil, you guys -- hi. You guys have really demonstrated leadership in alternative fuels over the last many years. And part of that is understanding the market. And today again on this call, you've been really clear that the long-term adoption of EV school buses, the accelerating adoption is dependent on the ability to reduce the cost of operating these buses, the cost of acquiring these buses for the school districts that are considering going electric. Can you maybe share with us your level of activity, your level of engineering focus on reducing the cost of EV school buses for your customers? Maybe if you could share opportunities you see as particularly ripe or having good near-term returns? And what's your vision for potential cost improvement over the next few years?
Phil Horlock: Okay. Great question, Craig. So, obviously, you look at where we are, we buy a system from Cummins, right, and they're a great partner of ours. We buy our drivetrain system from them, includes the batteries, includes the controls, the control software system, the motor, the inverters, all the pieces. And we have a regular cadence with Cummins in terms of the products that we meet on going through options to reduce design, lower the cost, think smarter about the product itself. And I'm not going to put any numbers on the table now. Needless to say, we have a great program with them. We're constantly looking at resourcing, sourcing alternatives, lower cost systems, whether that includes batteries, the control motor itself, do we look at the axles down the road. I mean, these are all things we consider in collaboration with Cummins. I think we're still at the early stages, I would say, in terms of the EV capability. And we've been in since 2018 with Cummins as our partner. But I think down the road, you'll sort of look at it -- we'll be looking more and more at battery suppliers, battery alternatives, cell providers because frankly what's happened in the last with one of our major battery suppliers on that was a battery supplier out there who had to declare bankruptcy and was acquired by another company is an example I think of some of the flux that's going on there. So, we're constantly looking at alternatives for stronger partners, better cost partners, lower cost partners, more efficient partners, and we'll keep doing that. I think some things over time, you'll see us probably bring a little bit more of this in-house too as we get more scale on our business. But we're at the forefront of it. We're very collaborative with Cummins. They're a great partner to work with, and I think you see it -- see the outcome in our results. I do think that over this -- over the next few years you're definitely seeing not only the battery costs coming down but other components as a more scale and electrification of school buses and trucks in general and we want to capitalize and be ready for it. Hence, this generate capital venture we've done, Clean Bus Solutions, is again trying to make it more affordable on a regular, predictable, monthly basis, taking away what we call anxiety. Anxiety for infrastructure away from the customer and we'll handle it for them and take care of it and make it much easier for them to adopt electric buses. That's what we learned a lot from propane. A little lengthy here the process Craig but I know you know our business very well. You've been with us a long time. One thing we did with propane was when we first entered that market, first question, where do I get propane from? What tank do I need? What threading do I need? You have to explain that and educate and train the drivers, the customers about how to handle these vehicles. I think we do a good job in that regard.
Craig Irwin: Excellent. And then I guess others have tried this question, so maybe we'll be just a little more direct, right? You have the most experienced bid team out there facing the EPA, right? And you've demonstrated clear leadership in EV school buses. Do you expect to have a greater share of the $400 million in funding coming to customers that you support than what you saw on the $1 billion that was handed out last year?
Phil Horlock: That's an interesting question. I can tell you this, I'm not quite sure what's going to happen in the end, right? At the end, we don't select the actual folks who are going to get those grants. I mean, the EPA says that. I will tell you, I think we prepared extremely well for it. Just to reiterate, we've sent in enough applications to take the entire fund. So, we think we did -- and we really well qualified our applicants. We didn't go in here with just a, "Hey, let me just give you a free opportunity to have a bus that's relatively low cost or no cost." We actually went thoroughly through every school district, everyone of our customers, some of them were conquest customers, new customers who wanted to move to Blue Bird. So, I guess what I'm saying is, Craig, that the proof of the pudding will be in the eating, right, when it shows up. But I feel confident we prepared as best we possibly could to get every opportunity to capitalize on these grants.
Craig Irwin: Okay. And then an adjacent question to that. Congratulations on your collaboration with Generate Capital. Jigar Shah is also a visionary on clean tech finance and has executed impeccably in his many different business ventures. Do your competitors, the companies that have aspirations of leadership in the EV school bus market have access to the funding out of Generate or would they need to go and find similar partners to set those up and offer that kind of financial support to some of these low-income disadvantaged communities that the President is really focused on giving the opportunity to?
Phil Horlock: Well, our venture with Generate -- and by the way, I agree with you fully, Jigar Shah is a fantastic guy. I've met him several times over the years in on different events even prior to this joint venture here. But I will tell you that I think we are really well prepared on this. As I look at it -- one second. Yeah, I should say I just lost a tone the question I'd explain all my knowledge of Jigar Shah just as you were doing. But I think the unique thing for us, we have the exclusive relationship with Generate Capital. They want to work with us. They see our leadership in this space. They have fantastic access to things that we don't really access today in terms of tax credits, getting to every sort of corner of utility understanding better than we do around the price of electricity and what it really means to a customer. So, the answer to your question is quick. We are the only ones who can do this deal with Generate Capital, and so we're very proud to have that unique relationship. The goal for us now is to train our entire dealer network of what this is all about, what it means, the advantage it gives and give a chance for all of our customers to get a zero emissions school bus as fast as possible.
Craig Irwin: Great. Well, congratulations on fantastic performance. It's got to feel good to come back to Blue Bird to drive this level of success.
Phil Horlock: This feels great. Thanks a lot, Craig. I appreciate it. It's all a team effort though. Thanks a lot.
Craig Irwin: Absolutely.
Operator: Thank you for your questions. There are currently no questions waiting at this time, so I'll pass the conference back over to Phil Horlock for closing remarks.
Phil Horlock: And thanks to all of you for joining us on the call today. We appreciate your interest in Blue Bird and we look forward to updating you again on our progress next quarter as we always do. As you saw today, we've completed a significant transformation, well ahead of schedule, and it clearly shows in our record fiscal '23 fourth quarter and full year results. We have a really strong momentum going into fiscal '24, and consequently, we raised our fiscal '24 guidance significantly, projecting a 10% adjusted EBITDA margin, which is 2 percentage points above what we achieved in fiscal '23. And we're confident in achieving an 11% to 12% margin within a couple of years as industry supply chain constraints continue to ease. So, should you have any follow-up questions, please don't hesitate to contact our Head of Investor Relations, Mark Benfield, and thanks again from all of us at Blue Bird. Have a great evening. Good night.
Operator: That concludes today's conference call. Thank you all for your participation. You may now disconnect your line.